Operator: Good afternoon. My name is Jesse, and I'll be your conference operator today. At this time, I would like to welcome everyone to the GoDaddy Q3 2018 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Sam Kemp, you may begin your conference.
Sam Kemp: Good afternoon, and thank you for joining us for GoDaddy's third quarter 2018 earnings call. With me today are Scott Wagner, Chief Executive Officer; and Ray Winborne, Chief Financial Officer. Scott and Ray will share some prepared remarks, and then we'll open up the call for questions. On today's call, we'll be referencing both GAAP and non-GAAP financial results and operating metrics such as total bookings, unlevered free cash flow, net debt and ARPU. A discussion of why we use non-GAAP financial measures and reconciliations of our non-GAAP financial measures to their GAAP equivalents may be found in the presentation posted to our Investor Relations website at investors.godaddy.net, or on our Form 8-K filed with the SEC with today's earnings release. Unless otherwise stated, when we refer to organic measures, we are referring to those measures excluding the impact of HEG and Main Street Hub. The matters we'll be discussing today include forward-looking statements, which include those related to our future financial results, new product introductions and innovations, our share repurchase program and our ability to integrate recent or potential future acquisitions and achieve desired synergies, including our acquisition of HEG and our recent acquisition of Main Street Hub. These forward-looking statements are subject to risks and uncertainties that are discussed in detail in our documents filed with the SEC. Actual results may differ materially from those contained in the forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, November 6, 2018, and we undertake no obligation to update these statements as a result of new information or future events. With that, over to Scott.
Scott Wagner: Thanks, Sam, and thanks to all of you for joining us today to discuss our third quarter results. We’re in an environment where it's never been more important to take an idea whether it be a business, civic organization or community event and not only get that idea online, but to enable that idea to grow and thrive through an integrated toolset and experience. We continue to execute on our vision of making GoDaddy an indispensable partner for entrepreneurs as they create a digital presence that both drives their idea forward, and creates pride in their work. Our third quarter results reflect our execution on that strategy with revenue up 17% year-over-year and unlevered free cash flow growing even faster at 28%. Today we will spend time on three topics. First, the progress we're making in our online presence applications. Second, an update on our customer experience, both frontline customer touch points and at the infrastructure level. And finally Ray is going to cover our continued financial execution. But before we begin at a broad level GoDaddy is about ideas coming into the world and representing both our customers’ ventures and their journeys in authentic and compelling ways. As part of that we’re thrilled with our new partnership with Ayesha Curry one of the most successful food entrepreneurs in the world with over 7 million followers on social media. Ayesha is the perfect example of an entrepreneurial doer who started her business from scratch, juggling that and an active family. GoDaddy will be helping Ayesha launch her latest food related venture in 2019 and we’re excited to be in a position to evolve our brand and customer experience together. And while we’re excited to be affiliated with known personalities and celebrity icons, we will also see that our messaging to the world celebrates our 18 million plus customers their ideas and their everyday entrepreneurial journeys as well. Now moving to my first point on presence with GoCentral, the themes we shared with you last quarter have continued including improvements in mobile use, customer retention, free-to-paid conversion and rising net promoter scores. We’re continuing to add significant features to the website builder and its broader application as an online presence engagement tool. We recently added Yelp as a partner for our expanding presence solution, making it simpler for businesses to create their Yelp profile and claim their business listing right from the GoCentral dashboard. We’ve also added marketplace indications for product commerce to both post and sell products across Amazon, eBay, Etsy and other major marketplaces from a single GoCentral dashboard. As we partnered with these and other platforms we’re building out a streamlined process to quickly add new points of presence allowing us to accelerate our pace and depth of new third-party integrations as we head into 2019. Another important development in our presence offering is our recently closed acquisition of Main Street Hub, which is our platform for assisted branding and social media engagement. We’re four months into the integration. And while we still have a lot of work ahead of us, we’re seeing early points of validation of our original acquisition pieces. We can bring a ton of know how to our customers with assisted services for both site building and social media management through this integration. Ultimately there's real value in cultivating our customers instead of just selling to them. Remember everybody, part of the benefit and promise of GoDaddy is that we actually serve customers and we’re just beginning to unlock the ways that we can help our customers communicate to their audience. In our early efforts we’re seeing positive receptivity from our customer base and we’re encouraged by the potential. And that all ties into my final point on customer experience. While we often talk with you about what we provide to our customers that is our products and their feature set, we’re making significant strides in our customer touch points align whether that be in our marketing, or website, or individual product components and flows across our care reps and other points of engagement. This is a combination of both big initiatives and a lot of blocking and tackling basics that we’re seeing to lead the consistent improvements in success measures with GoDaddy's net promoter scores increasing significantly since we started this effort and customer satisfaction scores are at their highest in GoDaddy's history. And while these frontline customer touch points are crucial we are also making substantial improvements to GoDaddy's platform and infrastructure, which is showing up in our ability to iterate on both our product and experience. With AWS we’ve begun migrating workloads into the cloud on pace with our expectations and we’re seeing the early potential around what it’s able to do for performance, scalability, and flexibility. To give you one example of how this can change our speed, we recently deployed a product on AWS’ infrastructure and cut two-thirds of lead times that we typically have. That's on top of allowing our teams to focus more on the underlying software and application performance versus the infrastructure capacity itself. Before I hand it over to Ray, I'd be remiss if I didn't take a moment to recognize Bob Parsons, GoDaddy's founder, who stepped down from our Board of Directors in October. Bob was a pioneer in the industry and built GoDaddy in true entrepreneurial fashion, throwing his heart and soul into a dream while taking big risks. GoDaddy is all about enabling entrepreneurs and people's ideas to start, grow and thrive and Bob continues to epitomize our customers. He is now devoting his attention to a wide range of new entrepreneurial activities. Personally, it's been a true pleasure and honor to get to know Bob over the last six years and I and we thank him so much for all his contributions. With that here is Ray to cover the financials.
Raymond Winborne : Thanks, Scott. I will touch on the financial results for the quarter and the outlook for the rest of the year. We delivered another solid quarter with great top-line performance and strong growth in unlevered free cash flow, while continuing to invest for the future, including closing the acquisition of Main Street Hub earlier in the quarter. On the top-line revenue came in at $680 million in the quarter, growing 17% year-over-year, or 14% excluding the impact of purchase accounting and Main Street Hub. Underlying growth was in line with the second quarter and reflects strength across all segments of the business with particular outperformance coming from domains on the back of strong registrations and aftermarket sales. International revenue was $236 million in Q3 growing 19% year-over-year or 15% excluding the impacts of purchase accounting. Foreign currency headwinds were negligible on Q3 revenue. Bookings grew to $742 million rising 11% year-over-year, or 12% on a constant currency basis. Let me touch on a few things related to our bookings trajectory. First, as the US dollar strengthened midsummer, we saw currency flow from 130 basis point tailwind in Q2 to a 110 basis point headwind in Q3. That affect has obviously magnified in the international results. Second, as we’ve mentioned in the past, we are continually testing merchandising tactics to improve the customer experience and customer lifetime value. Some of these will impact bookings and revenue in the short-term but are good for the long-term health of the customer, and in turn, for our business. While this will show up in all regions it will likely show up more in international as we prefer to test and iterate within smaller control segments before launching initiatives more broadly. And finally, it was still a relatively small piece of our business that's been growing quickly. We are seeing some softening in China that led to a little less to 1 point of deceleration in Q3 total bookings. Moving on to key metrics. Customer growth was solid at just under 7%, bringing the quarter end customer base to 18.3 million, including 8 million international customers. We've added 1.1 million net new customers in the past 12 months, reflecting a mix of strength in gross new customer adds and slight improvements in retention. ARPU rose to $145, up 9% year-over-year, with growth favorably impacted by the effects of the HEG acquisition last year. ARPU grew in the mid-single-digits on a more normalized basis. With lifetime customer value at 10 times the cost to acquire customers, our unit economics remain robust and our source of value creation for shareholders. We’ve been leaning into marketing spend, particularly as we find strong returns and conversational marketing where we are evolving our ability to more precisely target the need states of our customers present the right message and meet them in the right channel. Through this and other efforts, we’re creating incremental capacity for go-to-market spend through both product on-ramps and spending into our base. Unlevered free cash flow for the quarter grew 28% year-over-year to $176 million. Unlevered free cash flow margin was 26%, reflecting solid flow-through on top-line growth. One point on cash flow, you'll notice the CapEx was light in Q3, which was due more to timing of planned spend but we expect that to bounce back in the fourth quarter. We remain early in our transition to the cloud, and we don’t expect to drive any meaningful leveraging CapEx in the near term. With respect to the balance sheet we finished Q3 with $852 million in cash and short-term investments, net debt landed at $1.6 billion or about 2.3 times net leverage on a trailing 12 month basis and we're on track to be at 2 times leverage by the end of the year, exactly where we said we would be a year ago. Our priority remains taking advantage of the highly cash generative nature of this business, first through internal investment, second through acquisitions, and third via share repurchases. Given the strength of our balance sheet our declining leverage ratio and financial capacity, the Board of Directors approved an open-ended authorization to purchase up to 500 million of our Class A shares. We’re going to execute this in a thoughtful manner so as not to constrain our ability to take advantage of M&A opportunities as they arise. We’ve had a strong year thus far, both in terms of top-line and bottom-line strength as well as investments we made in product, customer experience and our platform. So with that let me turn to the outlook for the rest of the year. Revenue as a result of strong third quarter performance and our expectations for the fourth quarter, we are raising our full year range to $2.655 billion to $2.660 billion implying full year growth of 19% at the midpoint. For full year unlevered free cash flow, we expect to generate approximately $620 million implying 25% year-over-year growth. That reflects the impact of cash burn associated with Main Street Hub and investments that we’re making in the customer experience, expanded business capabilities and an acceleration in branding and conversational marketing. As a reminder, on our cash flow guidance, it includes total cash tax-related payments of approximately $25 million, excludes a onetime tax payment of $24 million associated with the gain of PlusServer sale last year and excludes cash interest payments which we project will be approximately $85 million for the year. As we look to 2019 we feel great about the consistency of our results, which reflect the power of our strategy and execution. The framework of double-digit top-line growth and 18% to 20% growth in unlevered free cash flow that we provided to you at our Investor Day holds true for 2019. We see this is a healthy mix of run rate top-line and bottom-line growth plus investing for the future while continuing to create margins over time. Obviously, the last couple of months have been choppy in the markets. From a GoDaddy standpoint, it's nice to provide mission-critical services for getting people's ideas online and making them great, which is a business that has the defensible advantages. And in an increasingly volatile world there is a stability and consistency with GoDaddy that hopefully resonates with everyone on this call. Thanks everyone for joining us today. And with that, let's open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Mark Grant with Goldman Sachs. Your line is now open.
Mark Grant : A couple quick ones from me. So if you could provide a little bit more color around what drove bookings in the quarter. You mentioned a couple of things and we saw change in deferred, are you seeing anything in your go-to-market that that is worth kind of drilling into there? And then on the conversational marketing side, you mentioned you’re leaning into those initiatives and seeing some good returns. Can you talk a little bit about any potential impact to customer acquisition costs that you're seeing or I guess another way are those initiatives serving to improve customer growth, or is it more about driving intelligent upsell within the base? Thanks.
Raymond Winborne : Mark I will start its Ray. I did highlight a few factors in my call comments on bookings. Yes there were a number of factors at play but the changes in subscription term due to product mix, and frankly decisions we’re making around the customer experience were the key drivers. Shorter-term length is a conscious decision as an example, in many cases it result in a better customer experience. If you think about examples our multiyear renewals would be one where we’d rather sell say a single year subscription, and have more renewal points when that comes around and they give you an opportunity to sell more products at a more frequent interval and a lot of times that serves the customer better as well.
Scott Wagner: And it's Scott. Your second question, Mark was around just marketing and how to think about the cost of customer acquisition going forward. The bulk of our marketing still is focused around customer acquisition. But as you said we’re spending more effort about talking to our base conversational marketing relatively tiny amount of spend, we’re happy with it. We’re going to continue to grow that aspect and notion for us, but it’s still pretty small. If you look at our overall customer number Ray had mentioned, on a 12 month basis we’re up 1.1 million customers, our gross new adds on a net basis for the quarter are good. So from a customer add standpoint, both on a gross level and the retention level we’re happy with what showed up. As we’ve mentioned, we don't necessarily manage to that number but we’re happy with the customer both adds and retention.
Mark Grant: Thanks and then Ray mentioned the shorter duration there. When you improve the customer experience as you mentioned, is that something that we can take as an indication that we might be able to see some improvement in that 15% customer churn number that you’ve talked about?
Raymond Winborne : Yes. Mark, over time we’ve continued to see slight improvements in churn particularly in the more developed markets and so that's obviously where we’re pushing every day to try to improve that and improve experience, improve the retention.
Operator: Your next question is from Jason Helfstein with Oppenheimer. Your line is now open.
Jason Helfstein : Two question and apologize if it's covered. So I think there is a second quarter where bookings slowed down on a year-over-year basics ex-FX and as part of that we saw deferred revenue go down to 2% bookings which is obviously a big change from last year so same kind of pattern in the second quarter. So I guess, can you talk about is there more of a shift to monthly versus prepaid that’s causing that and then as you think about the 12% organic growth on bookings, is that a reasonable rate going forward? And then I’ve got down one follow-up.
Raymond Winborne : Hey, Jason it’s Ray, Mark had a similar question, and it is back to term as one of the key drivers there beyond FX and then the softening in China that I mentioned that both of those affect your change in deferred. So that is where it's coming from. And as you look at the longer-term, obviously we've seen call it 13% growth on revenue bookings has been slightly diverging from that and we’re looking at double-digit growth as we move forward.
Jason Helfstein : And then just a follow-up then for Scott. So should the company be increasing marketing spend to either add customers in existing markets or drive kind of higher usage higher ARPU from existing customers or do you think your capital is better spent on geographic expansion either organic or acquired? Thanks.
Scott Wagner: Yes. Thanks, Jason. I think the answer is both right? We’re still -- if you look over time we've accreted our unit economics and so the average customer add is still quite profitable. It doesn't mean that you chase the last incremental customer everywhere but a good customer who's coming in and is purposeful about getting an online presence, right website, domain name and connecting it to other applications around the world that is a phenomenal economic customer and so we’re going to continue to focus on international expansion growth around that. The great promise for what we’re doing is, obviously, can we fulfill the full suite of needs that the customers are going to have not only to start an idea, but actually have it build up over time, which is about how do we work with our own basic customers. So the answer is both and we are going to continue to try to be able to do both, but also within reason about how things flow through the P&L and through year.
Operator: Your next question comes from Brian Essex with Morgan Stanley. Your line is now open.
Jonathan Lee: Hi. This is Jonathan Lee on for Brian. I wanted to dig in a little bit on Plasso, it looks like you may have acquired that business this past quarter. Can you add some color around what that platform is, what plans for it and how much demand you see for paying from the platform?
Scott Wagner: Thanks for the question Scott. So for those of you who may not know what Plasso it's a start up in the digital commerce space and on what Plasso is going to allow us to do is accelerate three different use cases around commerce. The first is to be able to sell digital goods and downloads via the GoCentral platform. The second is to enable our customers to have subscriptions, paid membership and packages, again there are going to deliver to their own customers and audience. And the third is to be able to create really a unified payment system, again, that are going to be extended to our own customers. Think about it is a lot of the capabilities that GoDaddy might have and we’re going to go try to help enable that for somebody who may only have a couple of employees. Again the focus for Plasso is going to be to build up the GoCentral platform. Although each of the things that I described can also be an asset and a plug-in to WordPress. So we’re excited about having a Plasso team join us.
Jonathan Lee: Appreciate the color. What’s the -- I mean it looks like you’re rebuilding the platform, is that correct?
Scott Wagner: I’m sorry, rebuilding on the platform?
Jonathan Lee: You have rebuilding the Plasso platform on to your platform?
Scott Wagner: It's going to just be integrated into GoCentral.
Operator: Your next question comes from Brent Thill with Jefferies. Your line is now open.
Brent Thill : Ray just on the booking number, just the ongoing. But when you think about the shift away from year to shorter duration, can you just give us a sense of allocation of what customers are billing for yearly versus shorter duration, what the time line has been there?
Raymond Winborne : Hey, Brian, we haven't gotten into that level of granularity in the disclosures but you if you look at the product mix that's driving a lot of it, particularly when you look at GoCentral it’s more of a monthly product a lot of our WordPress products are monthly products and as those are growing and becoming a heavier piece of the mix and then we’re using the Care organization in different ways as well. Some of those are multiyear in the past and we’re starting to pull those in, again back to customer experience.
Brent Thill : Okay, if you go to kind three causes I think there's a lot of focus on this metric this quarter, is FX the biggest headwind if you had to kind of allocate a headwind among those three factors, is that -- was that the biggest one that you would cite?
Raymond Winborne : FX was the number one in the list. And then you’ve got your China was almost 1 point in a slowdown and then the term is your other one.
Brent Thill : In China you don’t believe there's any -- that’s more macro versus anything that’s happening on the execution side from your perspective?
Raymond Winborne : Yes it doesn't feel like it's a GoDaddy specific issue from what we’ve seen.
Operator: The next question comes from Matt Pfau with William Blair. Your line is now open.
Matthew Pfau : Just want to follow up on HEG and if you can provide an update there? I know last quarter, it seemed like acquisition had been progressing as you had planned but you also sounded like there was room for improvement there as well. So maybe just an update on that business? Thanks.
Scott Wagner: Thanks, Matt. Well I think it was -- we were happy with where we were and we were continuing to do the work, particularly the integrated into a global product portfolio and a single platform that work is going on. So again, good progress, so we’re managing two plan, again, it's kind hit all of its basic metrics and the two priorities are single product portfolio that can be deployed all across the world. And then a global Care model with an integrated platform around it. And there is still work to do on it and we’re -- that will last probably for the next several quarters, but it's moving along.
Operator: Your next question comes from Naved Khan with SunTrust. Your line is now open.
Naved Khan : I had a couple. So maybe just on the Main Street Hub acquisition. This was the first quarter you had it. Was the contribution on revenue and booking kind of in line with your expectation? I think you guided to maybe 10% -- $10 million a quarter kind of run rate. You did not have any kind of guidance about the contribution on bookings. How should we think about that? And is $10 million a quarter still the right way to think about it going forward until you relaunch it?
Raymond Winborne : Yes. It’s Ray, and that’s exactly what you should be thinking about it, we called $40 million annual run rate on a quarter and it's dilutive on an EBITDA basis and both of those are true in the first quarter. And as we integrate the business we're seeing good progress as Scott mentioned in the call comments but it's going to be in the '19 before we start to see anything coming out of that run rate.
Naved Khan : And any contribution on bookings from the Main Street Hub?
A - Scott Wagner: Same as revenue, this is more of a monthly product.
Naved Khan : Got it. Okay. And then a quick follow-up I had was just on the M&A front. I guess you're still sort of keeping that optionality open in spite of the announced buyback. Any updates on what the pipeline might look like now versus the last quarter?
Raymond Winborne : I wouldn’t comment on any specific target but if there are assets out there available you can assume we are looking at them. So it's still a strong pipeline.
Scott Wagner: Yes, and the broader context, this is Scott, again we are operating one of if not the largest platforms for small businesses and organizations, not only to just get their ideas started, but hopefully build that up around the world and that creates opportunity for us to certainly integrate specific products and expand our geographic scope and we will continue to look at both and do so in a judicious way that’s it's going to add value to our customers and to our position in the world and what we can deliver for them and we think there is going to be a additional opportunities for that. Obviously that’s our priority and just given how the state-of-the-world right now we thought it would be prudent to also have the ability to do buybacks on a judicious basis.
Operator: Your next question comes from Mark Mahaney with RBC Capital Market. Your line is open.
Mark Mahaney : You talk about GoCentral in the deck about continued solid adoption rates, could you quantify at all that ramp for GoCentral and then Scott just like the last two quarters any early comments on synergies with AWS?
Scott Wagner: Thanks, Mark. In terms of GoCentral, so GoCentral shows up in our hosting and present line, which on an annualized basis is going to be about a $1 billion this year and so within that there are a variety of hosted applications that are growing, but obviously growing slower and GoCentral is growing much quicker. We’re not breaking out the difference between the two but that's for split. On AWS, in terms of using AWS for our own product applications again a quick example as we've cut lead times by two-thirds so our debt cycles by two-thirds the amount of time in terms of deploying product code into live into the environment and that's just fantastic for our speed and we’re continuing to work with Amazon on a couple of different things and the GoDaddy's products into the Amazon ecosystem as well.
Raymond Winborne : Hey, Mark when you think about the full transition of the heavier workloads, it's going to be a multiyear effort to Scott’s point, what we're doing right now is getting the product development and the application development into the cloud, that's where we’re really realizing the velocity and ease.
Operator: Your next question comes from Mark May with Citi. Your line is open.
Mark May : A couple please. On gross margins you’ve continued to show nice improvement there I wonder if you can just quickly remind us what are couple of the main factors that are driving that and how sustainable do you think these improvements are? And then secondly you've had -- you've shown some nice leverage in terms of marketing and advertising recently but it’s now down to like 10% or 11% of revenue or something like that and I'm sure you're payback periods are much shorter than what is probably acceptable, so I guess I'm just trying to get a sense for how willing would you be to extend those paybacks a bit kind of lean into marketing even in some of your more quote established markets in order to possibly test the market and maybe test growing the business a little faster than what you are at the expense maybe of short-term margins?
Raymond Winborne : Great questions. It’s Ray, I will start with gross margin then let Scott take the marketing. Gross margin ticked up a little bit this quarter after being relatively flat at 66% for the last year. All levels equal as we’ve said in the past as the business continues to shift towards the higher margin software products we’re going to see that drift up, but I’d still caution you as I always do on this call not to model in accretion there because we will take that and move it up and down the P&L based off of different investments.
Scott Wagner: Yes, and this is Scott, I will take the second one on marketing and thanks for framing it that way Mark. We would like to grow marketing, we would like to grow marketing faster than revenue as we head into next year I mean as everybody on the call I think really appreciates our aggregate return on our marketing spend is fantastic and we’re looking at two places on how and where we can continue to grow that marketing spend. The first is around pulling new customers into the franchise. Again, if you look at the quarter's results our customer adds and retention and how they made it out were really attractive there and part of that is how and where we’ve spent our marketing dollars really over the last both this quarter in the quarter before. And back to conversation on marketing, which is actually going and addressing our base, again we’re seeing really nice signs of return there and that's something that we’re going to scale up in 2019 and I think the nature of these two questions, which is gross margin accretion how much reinvestment into marketing is something that we've been managing really for the last several years as a public company which is putting dollars back into the business to grow our franchise again at attractive LTV economics and looking at the relative investment within different line items in the P&L accordingly, to still kind of have a really nice top-line growth and still accrete to the bottom-line. I think that the philosophy as we head into next year that we are going to go forward on. But again the idea boy can we lean into go-to-market spend a little harder? Yes we’re looking for it. But again, we’re economic enough that we’re not going to get our skis, we will test, learn and when we find things that work we’re going to pick it up.
Operator: Your next question comes from Ron Josey with JMP. Your line is now open.
David Scharf : Hi. This is David on for Ron. Just wondering if you can give us an update on the integration of Main Street Hub from GoDaddy lead perspective?
Scott Wagner: Hey, David it’s Scott. It were in the process of taking the Main Street Hub service which is social media and reputation management and introducing it into the GoDaddy base and we’re seeing really nice return as expected around the introduction of that to a known customer base as opposed to in the wild, and really we’re in that still early-stages of that journey but we’re seeing -- what we're seeing basically what we would expect and now our work is to really take both website building, maintenance and social media, rapid altogether and have absolutely one offer and delivery system across both because that's the difference making thing in the world and in the market and we’re kind of building that product and delivery experience. And if and as we do it's going to have fantastic returns on the sales productivity like we know that for a fact.
Operator: Your next question comes from Sterling Auty with JPMorgan.
Sterling Auty : So we've had a couple of quarters over the last couple of years where the term length has been out of my focus and just wondering with some of the comments you made, what's left, so in certain way to quantify and I know that’s probably impossible, but what the average term length is or how much more impact could we see from further shifts in duration?
Raymond Winborne : Hey, Sterling. It’s Ray. Yes, you are right. This has occurred over time for different reasons and a lot of what we've been doing now is back to the improving that customer experience and therefore retention and what we're talking about is days, I don’t wanted to make it sound like we've taken our term down by months or quarters, these are days but when you apply a shortening of days to the size base, it matters on a year-over-year growth rate.
Sterling Auty : Okay, and one follow-up just may be any color in terms of the business application, revenue line item 26%, good growth but seem to be kind of tailing into that range, so you talked about in terms of the multiple times of domain growth. So just wondering what you're seeing in terms of O365 growth versus other contributions there?
Raymond Winborne : Hey, it’s Ray again and really pleased with the growth this quarter 26%, over a $100 million a year or a quarter revenue line item now and we will continue to see good growth coming out of O365 and penetration on units. In long-term we continue to see this line items not just productivity but as we add products in here drilling at 3x to 4x on a customer growth. So we’ve been very happy with what we've seen.
Operator: Your next question comes from Sumeet Sinha with B. Riley FBR. Your line is open.
Lee Krowl : Hey, guys. This is actually Lee Krowl filling in for Sumeet. Just a quick question on something you mentioned in your prepared remarks. I mean you guys kind of talked about touching merchandising tactics internationally. Just on that front, can you maybe talk about whether or not the competitive landscape has changed internationally and maybe it's estimated perhaps a little more difficult to do these tests against a more competitive suite of products out there?
Raymond Winborne : Hey, Lee, it’s Ray. No, it is so fragmented when you get outside the US particularly in some of the smaller markets is where we test these merchandising tactics that it's something we absolutely do on purpose because we don't see the impacts from a competitive standpoint.
Scott Wagner: I think more broadly, just thinking about standing in the world and how and what dynamics happening, I don't think there's anything substantively different. Yes, if you think about traditional web services companies I mean that is a fragmented array of different companies. At this point we love both entering and sort of taking presence in share from that audience all around the world. And if you think about just different geographies and obviously Asia, the adoption of Asia, it country-by-country looks a little differently in terms of social media platforms and how they relate to the open web, but our business in Asia-Pacific has been growing nicely for a while and there's certainly not only a role that we have to play but one that continues to offer growth for us. So at a macro level, there's nothing that I would say has necessarily changed in terms of the global either competitive dynamic or just the offer set.
Lee Krowl : Got it. And then on the integration with third parties like Yelp and Etsy, can you just remind me what the fundamental implications are for things like that? Is it more of just a feature set to be a convenience to customers or is there a revenue opportunity there and maybe just the impact potential going forward?
Scott Wagner: Well in terms of product commerce, it's relatively small today and that's a big opportunity for us to build it up and again if you think about commerce there's two big ways to do that, there is service commerce, which is your booking or billing or offering a subscription membership which is the vast majority of actually small business ideas and opportunities and that’s something that we’re growing really nicely and we do well today and we’re really thrown in our shoulder against it even more and then the other is obviously product commerce, which is selling physical goods with inventory, which is sort of a different vertical on its own. And one of the things that we are just starting to release to small portions of the traffic is a way to take somebody’s store and shopping cart within GoCentral's e-commerce platform and syndicate that to Amazon, eBay and Etsy right from GoCentral again to have one place where our customers in control of both their inventory and offer both at the open web and to the major marketplaces. So again that’s small for us today, but we think it is really addressing the needs that most of the customers have.
Operator: The next question from Michael Olson from Piper Jaffray. Your line is open.
Michael Olson : Hey, thanks. Just since you mentioned it, what do you think is going on in China that’s created a little bit of softening, is it overall market characteristics or competition or some sort of other specific change? And then may be while we’re on international, you just mentioned a broadly fragmented market, but wondering if there are any particular countries, regions that you would call out as having the opportunity for kind of mostly near-term potential to impact the model in any material way?
Raymond Winborne : Mike it’s Ray, I will start off with -- it does look like it’s anything specific to GoDaddy, I don’t know if I would call out macro but we haven't seen what's behind it in China and again to Scott’s point it’s still growing very nicely. It was just going a lot faster in the first half of the year.
Scott Wagner: And relative to markets and growth, there's nothing to really call out. I mean, if we back up over the last five years, there's been an evolution of customer adds around the world that has a big concentration in Europe, obviously we’re picking up in Asia Pac, which obviously has a whole bunch of different countries with different make-ups there. But the growth algorithm from a customer adds standpoint internationally has been kind of solidly into the mid-teens. And that's the customer profile that we've been on for the last several years.
Operator: Your next question comes from Deepak Mathivanan from Barclays. Your line is open.
Deepak Mathivanan : Two questions. The first, the recent announcement on .com price increases potentially from the registry sites starting in 2020, is that something you would expect impact gross margins I know in the past you passed through registry cost to consumers, what should we expect for the .com side? And then second one, how big of the international business is in local currencies versus US dollars? Because even on the FX impact I know in the past you have made pricing adjustments to reflect US dollar trends, is that something that you tried or what is the bigger driver?
Scott Wagner: Hey, Deepak, it’s Scott, I'll talk to the VeriSign situation. For those of you who aren't aware VeriSign received the authorization from the NTIA starting in 2020 to be able to raise the price of .com as a registry by 7% and that amount today is $7.85 which has been that amount since 2011 and as Deepak pointed out the last time VeriSign took a price increase the industry passed that through to the end registrant, .com and more importantly the software around bringing somebody's .com to life is valuable and modestly we’re providing the value in that relationship around taking a domain name and actually turning it into something that somebody cares about. And so we’re focused on continuing to serve people in a great way with their idea and provide the real value in not just the name but around what you do with the name.
Raymond Winborne : Yes, Deepak, it’s Ray. So when you look at currencies it's turned into a slight headwind for us and truth is when you look at, roughly 70% of our global bookings are in the US dollar. And to your point when we see fluctuations in the currency -- local currencies, we do attempt to address it with pricing. You are not able to do that dollar-for-dollar in most cases and there is usually a lag. So we see some impacts there in the short-term. And then when you start talking about some of the things we've seen since late summer in some of the currencies as examples Turkey, Brazil, it's a pretty dramatic change in the currency. So you are not going to able to capture that with price adjustments.
Operator: Your next question comes from Lloyd Walmsley with Deutsche Bank. Your line is open.
Lloyd Walmsley : When you look at kind of bucket of core products newer products at GoCentral or Main Street Hub and then potential adjacencies, what should we expect the focus over the next year or so in terms of relative focus? And then specifically on potential adjacencies, where do you see is the most interesting kind of potential adjacencies either organically or through M&A and how should we think about that opportunity over the kind of near to intermediate term?
Scott Wagner: Hey, Lloyd, this is Scott. I think I'll talk about three things around the question. The first is what I’d call the ongoing evolution of the open web to the different social platforms. And so if you think about an entrepreneur with an idea, it could be a business, it could be an organization, it could be an event but getting that idea to an audience both existing and new customers requires certainly a position in the open web, which is how you get found by Google but now also a position into the different social media platforms. That at an end customer level is actually complexity and that's through both GoCentral and Main Street Hub and at an integrated platform not only to get a site but to intersect that content with social media is a huge priority of ours. The second is actually adding more applications which used to be standalone, either products or activities like bookings, invoicing, email marketing, hanging off that publishing platform right? And what you're talking about is more value delivered through not just a website but really a whole engagement platform. That really is about marketing not just publishing but taking publishing and turning it into marketing. The other idea and big pinpoint again at our customer level is what we’ve talked about before, which is both voice and messaging and actually creating ways that our customers can interact with their audience in effective ways. We have our call it toe in the water via SmartLine, and there's all sorts of ways that you can add voice and group text messaging and enable that capabilities to our end customers. And so those are the two real platforms if we think about jobs we’re doing for our customers and obviously one of the unique ways that GoDaddy can provide that for people is not just with technology products but also with some hands-on help with people. And so our focus is again around our product experience, but one of the unique things that we can do in the world is provide a little bit of hands-on touch and care to get somebody ramped up or frankly in the case of people don't have time to do something themselves provide a service. And so that's -- it's not necessarily a new product per se but it's definitely a different engagement system. So those would be the three that I’d highlight.
Operator: [Operator Instructions]. We have no further questions at this time.
Scott Wagner: Great. Thanks, everybody. Thanks for your questions. Thanks for listening and we will talk to everybody in a quarter. Take care.
Operator: This concludes today's conference call. You may now disconnect.